Operator: Good afternoon everyone and thank you for participating in today's conference call to discuss Ascent's financial results for the third quarter ended September 30th, 2024. Joining us today are Ascent's Executive Chairman of the Board, Ben Rosenzweig; CEO, Bryan Kitchen; CFO, Ryan Kavalauskas; and the company's outside Investor Relations Adviser, Cody Cree. Following their remarks, we'll open the call up for your questions. Before we go further, I would like to turn the call over to Cody Cree as he reads the company's Safe Harbor statements within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody please go ahead.
Cody Cree: Thanks Howard. Before we continue, I'd like to remind all participants that the discussion today may contain certain forward-looking statements pursuant to the Safe Harbor provisions of the federal securities laws. These statements are based on information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. Ascent advises all of those listening to this call to review the latest 10-Q and 10-K posted on its website for a summary of these risks and uncertainties. Ascent does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include non-GAAP measures. In accordance with Regulation G, the company has reconciled these amounts back to the closest GAAP-based measurement. The reconciliations can be found in the earnings press release issued earlier today and posted on the Investors section of the company's website at ascentco.com. Please note that this call is available for replay via a webcast link that is also posted on the Investors' section of the company's website. With that, I'd like to turn the call over to Ascent's Executive Chairman of the Board, Ben Rosenzweig. Ben over to you.
Ben Rosenzweig: Thank you, Cody and good afternoon everyone. I'm pleased to be reporting our third straight quarter of successive improvement in our financial results as we're seeing our stabilization efforts take hold across the organization. Bryan and Ryan have certainly exceeded the expectations that I had along with the rest of the Board when we initially embarked on this journey with them less than a year ago. And they've done so against the macro backdrop that has not done us any favors. Despite this, they've dug in their heels, quickly identified areas of improvement within both segments and at the corporate level, and then implemented immediate plans of action that have led to the improved results you're seeing today. Most importantly they've cost effectively built a focused team by blending new and existing operators to seamlessly execute on our near-term goals. We're still just getting started and have a lot of work to do to reinvigorate revenue growth, but I did want to recognize all the hard work Bryan, Ryan, and the rest of their team have put in to get us on the right track. In the third quarter, we continued to see soft demand throughout the quarter, resulting in a decline in volumes across both segments. All the financial improvements have come through internal self-help initiatives, which we continue to expect for the remainder of the year. Overall, our plan for both segments remains the same. We'll continue to optimize operations, drive efficiencies, and increase margins within the Tubular Products segment while planning and investing for growth in the Specialty Chemicals segment. Without question, the team has unlocked meaningful cost reductions and operational efficiencies this year, but this is just the beginning of their continuous improvement journey. The team is laser-focused on capturing every dollar possible to reinvest for growth. Looking at our capital allocation priorities, they continue to remain the same from what we've discussed throughout the year. We've got a strong liquidity position with over $8 million in cash on the balance sheet and just closed on an extension to our revolving credit facility that continues to provide ample availability for growth. As we become more and more comfortable with the stabilization efforts taking hold, we plan on ramping up our efforts to deploy capital to high conviction and accretive areas, while maintaining the operational discipline that Bryan and Ryan have instilled. We also continue to repurchase shares on the open market within the confines of our limitations and remain committed to evaluating all avenues to do so as long as our stock trades below our expectation of the company's intrinsic value. Last quarter, I spoke to our efforts to restore credibility within the market and I believe we're continuing to make positive progress on that front with every quarter of improving results. We attended the Gateway Conference in September and had a full slate of meetings with good interest coming out of the event. We look forward to remaining active on the Investor Relations front as we have more exciting growth initiatives to talk about. Overall, I'm pleased we're moving down the right path and have the utmost conviction in our ability to drive significant shareholder value in the quarters and years to come. With that, I'd like to pass the call over to Bryan to provide details on our operations across both segments. I'll be available later on to answer any questions. Bryan over to you.
Bryan Kitchen: Thanks Ben and thank you all for joining us this afternoon. I continue to be optimistic about the progress that we're making as an organization with another quarter of earnings growth and margin expansion through aggressive self-help. Without question, the renewal and purposeful recapitalization of talent has been an accelerator for us. This team was purpose-built and our ability to drive continuous improvement in the face of ongoing market headwinds, attest to that. We are just getting started. And we remain confident in our plan. Momentum is building. Although it feels like years ago in the news cycle, I wanted to touch base on the impact of Hurricane Helene. Ascent has assets in South Carolina, North Carolina and Tennessee areas which were directly in the path of the hurricane and experienced devastating destruction. Ascent rallied around our employees in the communities in which we operate to provide support, whether it was increased flexibility for our employees or the donation of goods into our communities. From a business perspective, I'm pleased to share that our operations team implemented appropriate risk mitigation measures. And despite some minimal downtime, we did not miss a beat in terms of meeting our customers' expectations. I am proud of how our company overcame the challenge, but I'm more pleased with how our employees have come together within their communities to make a real difference. With that, let's dive into our segment-specific commentary starting with Tubular Products. We are laser-focused in on maximizing the value of our current assets across the segment, and we continue to execute accordingly. In fact, despite reduced demand, the segment outperformed its prior seven quarters. The actions taken to-date have proven that the segment can be operated profitably, even in the face of challenging market headwinds. We are focused on sustaining the gains and driving continuous improvement positioning the segment to generate strong returns when market demand shifts back to pre-COVID levels. I am proud of the progress that we've made towards maximizing the value of our Tubular asset base. Now let's shift our focus to Specialty Chemicals. Despite soft market conditions our team continues to make meaningful strides in this segment. Like our successes in Tubular, we pushed past market headwinds to match Q2 earnings for the segment with 25% less volume. Through our new business development activities and our continued efforts to drive sustainable improvements in cost, product mix and pricing we are beginning to unlock the true value of our products services and capabilities, driving a 67% year-over-year improvement in gross margin. With compelling reference points, our selling project pipeline continues to grow and we are just beginning to see the impacts of our efforts in our mix in pricing and resultant margins across the segment. In Q3, the Specialty Chemicals segment delivered a 30% gain in average sales price versus Q2 and a 27% gain versus Q3 of 2023. We remain highly focused in on unlocking the long-term value of our existing asset base within the Specialty Chemicals segment. Our plan to stabilize this segment is ahead of schedule and the right people are in place which will allow us to begin looking beyond organic growth in the near-term. Overall we made significant strides both operationally and financially across the entire organization in a very tough macro environment. I do want to thank our entire team at Ascent who have demonstrated incredible agility resilience and the desire to win as we have worked together to purposely eliminate all barriers to progress at an accelerated pace. We have returned to consistently generating positive adjusted EBITDA. We remain debt-free and we continue to grow our cash balance. We believe this is a foundation for success as momentum continues to build and we remain very optimistic about the future. I'd like to now turn it over to our CFO, Ryan Kavalauskas to walk us through our third quarter financial results in more detail. Ryan the floor is yours.
Ryan Kavalauskas: Thank you, Bryan and good afternoon everyone. Jumping right into our third quarter financial results, net sales from continuing operations were $42.9 million, compared to $46.7 million in the prior year period. The decline was primarily attributable to lower volumes across both segments as well as lower pricing within Tubular Products, as we work to unlock growth capital through a backlog of low-priced aged inventory. This was partially offset by favorable pricing and product mix within the Specialty Chemicals segment. Gross profit from continuing operations increased 117% to $6.5 million compared to $3 million in the third quarter of 2023, while gross margin increased significantly to 15.1% compared to 6.4% in the prior year period. This increase was a direct result of our relentless focus on efficiency from product line management to a strategic approach to sourcing. Net loss from continuing operations in the third quarter improved to $7 million or $0.69 diluted loss per share, compared to a net loss from continuing operations of $14.7 million or $1.45 diluted loss per share for the third quarter of 2023. It is important to note that, during the quarter we took a $6.2 million tax charge related to a valuation allowance against our deferred tax assets. This is a onetime non-cash charge and does not affect our overall operating profit, as our income from continuing operations before taxes was $0.5 million or $500,000. Outside of the one-time impact, the year-over-year improvement was primarily attributable to the aforementioned increase in gross profit and a year-over-year decrease in interest expense, due to having much lower outstanding debt. Adjusted EBITDA in the third quarter increased significantly to $2.5 million compared to negative $1.5 million in the same period last year, while adjusted EBITDA margin improved to 5.7% compared to negative 3.2% in the same period last year. The improvement was primarily a result of the aforementioned cost optimization and profitability improvement initiatives we've implemented. Lastly, looking at our liquidity position as of September 30, 2024, we remain debt-free with $8.5 million of cash on the balance sheet and access to $57.5 million in borrowing availability under our current revolving credit facility, which we extended through 2027. We will continue to diligently allocate capital to drive organic and inorganic growth in the near future. During the third quarter of 2024, we repurchased a total of 42,623 shares for approximately $0.4 million through our share repurchase program. With that, I'll now turn it back over to the operator for Q&A.
Operator: Thank you, sir. [Operator Instructions] Our first question or comment comes from the line of David Siegfried from --. Your line is open.
Unidentified Analyst: Hey, guys. Thanks for taking my call. Congratulations on the adjusted EBITDA, the margin improvement, and the $8.5 million in cash that was really positive. And also, the operational efficiencies really nice to see. Just a question on Tubular, so it seems like the trough like with infrastructure projects and industrial has been two-plus years. And it seems like some of the industrial companies are calling a bottom. Do you see that as us getting close to that in Tubular?
Bryan Kitchen: Hey, David, it's Bryan. So I would say, we're cautiously optimistic, right? We're starting to see an increase in inbound quotation opportunities, across several different markets. So I would say, we'll touch base on this again in the next quarter but all indications are improving.
Unidentified Analyst: Okay. The $5 million increased cash on the books now from the previous quarter. Was that just from monetizing those assets from Munhall? Or is that just operational cash flow?
Bryan Kitchen: It's a little bit of both. So the predominant build in cash is largely from operational efficiencies. Monetizing slow-moving inventory has been a big piece of kind of the cash build this year and then a portion of it related to the Munhall asset sales. So it's a mix of kind of three of those factors.
Unidentified Analyst: Got it. Do you anticipate more of that happening in the near future? And are there more assets to be sold that can be monetized from Munhall or other places?
Bryan Kitchen: I think from a pure asset perspective that's not really our main focus. We will continue to rightsize our inventory monetize trap cash from that perspective. But I think that's largely where we'll focus on generating cash outside of just normal sales.
Unidentified Analyst: Okay. What do you anticipate happening first a sale of one or both the tubular businesses or a purchase of the chemical business?
Ben Rosenzweig: Stay tuned.
Unidentified Analyst: Stay tuned?
Ben Rosenzweig: Stay tuned.
Unidentified Analyst: So Bryan and Ryan so you established a record a public record at Clarion [ph] of turning around a chemical company and there's been some nice progress here with Ascent Chemicals. Do you -- obviously the focus is going to be with chemicals. Is some of the improvement we saw this quarter was it just strictly self-help? Was that also some of those contracts from Q1 that were starting to take root as far as margins go?
Bryan Kitchen: Yes, I think, it's a combination thereof, right? So we started off aggressively looking for cost reduction across the entire enterprise. I think we've been pretty successful in extracting that and doing that in a sustainable way. Additive to that though we have been improving our overall book of business or the quality of the book of business that we do have. So it's really all of the above David.
Unidentified Analyst: Okay. I saw an article in July that said M&A in the specialty chemical space has been robust. And I mentioned a PE firm which was completing multiple deals during the year. Do you see that from your perspective is there a robust M&A environment for specialty chemicals? How is the pricing?
Bryan Kitchen: Yes. I think as we indicated last quarter we've just started to kind of crack that door open. We're starting to get additional looks or get new looks at opportunities. I think it's too early to tell in terms of pricing. But what I will say is the activity level is picking up.
Unidentified Analyst: Okay. And would you ever look at distressed assets since you've turned around other companies that you could bolt on and turn around as well chemical?
Bryan Kitchen: Yes.
Unidentified Analyst: Okay. I saw an article in August that it mentioned that the Department of Defense awarded a contract to seven vendors to develop domestic capabilities to manufacture critical chemicals. So Ascent wasn't one of those vendors. But is that something that you could ever become a part of to play to the customer's desire to have a manufacturing footprint that's domestic?
Bryan Kitchen: Yes, it is. I think that there's an influx of onshoring opportunities that are beginning to emerge. And I think after this most recent election cycle I think we're going to see more and more of those opportunities.
Unidentified Analyst: Got it. Okay. Obviously, I know we don't give guidance, but are there targets, like margin targets that you could provide or maybe cash flow guidance as to the company that we could look forward in 2025?
Bryan Kitchen: Yes. Look I think we're in the process of kind of pulling together our budget for 2025. Obviously ,we're continuing to build cash. We've got incremental quarter-on-quarter growth is certainly in our plans and we don't plan to deviate from that. So, again, we're -- we've made very good progress I believe in stabilizing the enterprise. We're not done. There's no tick or tape parade. We're really just getting started. So, I would look for continuous improvement moving forward.
Unidentified Analyst: Okay, good to hear. And then the new credit agreement that's in place now, do you think that could be a precursor to perhaps a larger buyback? I mean after all the market is at all-time highs and the Russell 2000 is at a three-year high. Do you think now that operationally you feel better about where we're at? Do you think now is the time to hit the hammer and put the metal to the pedal so to speak or pedal to the metal with reference to larger buybacks?
Bryan Kitchen: I'd say it's possible David for sure that that was something that we really were targeting getting done as we evaluate everything that's out there. I think you've also seen a little bit more liquidity in our stock over the last one to two months. And obviously we feel like the stock is undervalued. So, we have been buying back stock. We are technically constrained by some of the market limitations that are easing a little bit with the additional liquidity. So, yes, I mean I think that that gives us the ability to have more options available to us.
Unidentified Analyst: Got it. Okay. Thank you for the time and appreciate it and look forward to future quarters.
Ben Rosenzweig: Appreciate it, David.
Operator: Thank you. [Operator Instructions] I'm showing no additional questions in the queue at this time. I'd like to turn the conference back over to Mr. Kitchen for any closing remarks.
Bryan Kitchen: Thank you, Howard. We'd like to again thank everyone for listening to today's call and we look forward to speaking with all of you again when we report our fourth quarter and full year 2024 results. Thanks and have a safe evening.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation. Have a great day.